Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Cedar Fair Entertainment Company's 2020 Fourth Quarter Earnings Call [Operator Instructions]. I would now like to hand the conference over to your first speaker today, Mr. Michael Russell. Please go ahead.
Michael Russell: Thank you, Amy, and good morning, everyone. This is Michael Russell, Corporate Director of Investor Relations for Cedar Fair. Welcome to our 2020 fourth quarter earnings conference call. Earlier this morning, we distributed via wire service our earnings press release, a copy of which is available under the News tab of our investors Web site at ir.cedarfair.com. On the call with me this morning are Richard Zimmerman, Cedar Fair President and CEO; and Brian Witherow, our Executive Vice President and CFO. Before we begin, I need to remind you that comments made during this call will include forward-looking statements within the meaning of the federal securities laws. These statements may involve risks and uncertainties that could cause actual results to differ from those described in such statements. For a more detailed discussion of these risks, you may refer to the company's filings with the SEC. In compliance with the SEC's Regulation FD, this webcast is being made available to the media and the general public as well as analysts and investors. Because the webcast is open to all constituents and prior notification has been widely and unselectively disseminated, all content on this call will be considered fully disclosed. With that, I would like to introduce our CEO, Richard Zimmerman. Richard?
Richard Zimmerman: Thank you, Michael, and thanks to everyone for joining us on the call this morning. We hope that you, your family and your colleagues are well and staying safe as we move forward through this pandemic with the anticipation of getting it behind us. A year ago, we opened our fourth quarter call with news of record 2019 financial results and shared with you a very positive outlook for the year ahead based on a strong start to 2020. It goes without saying that much has changed since that call a year ago. What hasn't changed, however, is the company's mission to be the preferred choice for regional entertainment and to make people happy by providing fun, dynamic and memorable experiences they can share with their family and friends year after year. As conditions continue to improve, we remain optimistic that Cedar Fair will not only return to, but surpass, the record levels of performance we achieved before the pandemic. My optimism is not only rooted in our company's resiliency in recovering from prior macro disruptions, but also on how well positioned we are to take advantage of near term growth and value creation opportunities, including the following positive indicators. First, entering 2021, we have a loyal season pass base of 1.8 million passes outstanding, with our most active spring sales season still ahead of us, as well as our 2022 season pass sales cycle, which kicks off this fall. The efforts we've taken over the past year to maintain our relationship with our pass holders has been exceptional. A strong measure of this success is that we have received request for and process refunds for less than 1.5% of 1% the season passes we sold for the 2020 season. We believe this high retention reflects our season pass holders’ recognition of Cedar Fair's unique and immersive entertainment offerings that are not only fun but also local and authentic, offerings they can't find anywhere else. Second, steadily increasing attendance at our park’s last season, and customer survey showing a strong intent to visit amusement parks this year are solid indicators that demand should strengthen throughout the 2021 season. And third, with most of our revenues and EBITDA generated in the second half of the year, we believe the broader availability of vaccines during the year's first half, combined with pent-up demand for outdoor entertainment and a heightened focus on drive to destination vacations, will position us well to benefit from improving attendance trends during the most important stretch of the season. During very uncertain times last year, it was reassuring to watch our leadership team remain strong and resolute, while responding ably to one of the most difficult business disruptions imaginable. For that, I am deeply appreciative of our entire team for the sacrifices they made and their steadfast determination in managing through the challenges of the pandemic. Their efforts and our determination to reopen as many of our parks as possible despite the challenges we faced were rewarded both from a strategic and economic value perspective. As a result of our prudent planning and superb execution, today, we are in a position of strength poised to benefit from resurgent demand. Before I ask Brian to review our financial results, I'd like to take a few minutes to update everyone on an initiative we began this past year to better position Cedar Fair coming out of the pandemic. As I mentioned on our last earnings call, like many other companies that saw their business models disrupted by the pandemic, we use this time as an opportunity to take a step back and review nearly every aspect of Cedar Fair. These efforts have been focused on a key objective, evolving and optimizing how we do business. Along these lines, we have identified opportunities to enhance the guest experience, create incremental revenue streams and realize cost savings across the company. We are confident that these initiatives will collectively make Cedar Fair a stronger and more efficient company going forward. With these objectives in mind, we are implementing a business optimization program over the course of the next 12 to 18 months. It will consist of multiple initiatives focused on high value areas on both the cost and revenue sides of our business that will lead to a better guest experience and improved profitability. On previous earnings calls, we've referenced several of the initiatives already in process, including the optimization of our park advertising programs, the build out of a centralized procurement function designed to reduce spending levels, improve product specification standards and streamline our buying processes and the introduction of new consumer facing technologies aimed at improving customer satisfaction. We also remain laser focused on the optimization of park level labor. As we have previously noted, seasonal labor represents our single largest expense item and it's an area that has been under significant pressure. To help address that, several years ago, we established a Workforce Optimization Committee that was tasked with improving the efficiency and effectiveness of our labor models. We also began to implement a new workforce management solution, which will be fully rolled out to all of our properties in 2021. This new Kronos space platform will provide better tools for managing our labor force in real time, as well as improve data analytics, enabling us to better align our staffing models with guest demand throughout the season. And as we have proven in the past, better staffing leads to a better guest experience, which in turn translates to improved attendance and higher guest spending levels. In addition to these efforts already in process, there are several other strategic initiatives still in ideation and analysis, many of which we anticipate activating at this year. While it will take time to fully implement all the initiatives associated with our business optimization program, we are confident they will have a meaningful impact on the guest experience and our operating results. Ultimately, we are targeting 200 to 300 basis points of margin improvement on a revenue base that is consistent with 2019 performance levels, implying an EBITDA margin that could approach our highest historical margin when operating in a normal business environment. We will be in a much better position on our first quarter earnings call in May to provide further detail on the progress of our initiatives. With that, I'll pause here to allow Brian to review our fourth quarter and year end results in more detail. Brian?
Brian Witherow: Thanks, Richard, and good morning to everyone. I'll start with our full year results before addressing our financial strategies for the year ahead. First, I need to remind you that due to the business disruption caused by the COVID-19 pandemic, financial results for 2020 are not comparable to results for prior years. After our parks were closed last March, we reopened 10 of our 13 properties beginning in late June. Three properties remain closed for the full year, including Canada's Wonderland, California's Great America and Valley Fair. While Knott's Berry Farm was only permitted to offer culinary festivals after the first quarter, which are not included in our 2020 figures for attendance, per capita spending or operating days. For the full year, operating days in 2020 totaled 487 compared to 2,224 operating days in 2019, a nearly 80% decrease between years. During the season, we were pleased to see attendance trends improve after our parks reopened. Upon initially reopening, attendance averaged 20% to 25% of comparable prior year levels, that percentage improved from 23% in July to as high as 55% in September. For the months of August through October, attendance was solid, averaging close to 40% of prior year, up against some of our biggest attendance days in 2019. For the full year, we entertained 2.6 million guests compared to 27.9 million guests in 2019. As a result of the 91% decline in attendance and a $101 million decrease in out-of-park revenues, 2020 net revenues decreased $1.3 billion or 88% to $182 million. Meanwhile, in park per capita spending in 2020 decreased by 4% to $46.38 compared to $48.32 in 2019. Per capita spending increases in food and beverage, merchandise and games, collectively up 14% in 2020, were more than offset by decreases in guest spending on admissions and extra charge attractions, primarily our front of the line Fast Lane products, which were not available on a comparable basis due to COVID-19 protocols. The decrease in admissions per cap was the direct result of a higher mix of season pass visitation compared to 2019. In 2020, season pass visitation represented 61% of total attendance compared to 52% in the prior year. Excluding the impact of season passes, nonseason pass admission per cap on all other ticket types was up 7%, ahead of our normal targeted growth rate of 3% to 4%. On the cost side, total operating costs and expenses for 2020 declined 51% to $484 million compared with $991 million for 2019. Abbreviated operating calendars and fewer offerings at our parks, combined with the cost saving measures we put in place, led to the year-over-year decline. The $507 million decrease in operating costs and expenses reflected a 78% or $98 million decrease in cost of goods sold, a 46% or $294 million decrease in operating expenses and a 51% or $114 million decrease in SG&A expense. Approximately 57% of the decrease in operating costs was related to a reduction in seasonal labor, while 50% of the reduction in SG&A was attributable to reduced advertising spend, two priority areas for capturing cost savings once park operations were disrupted. As we previously noted, the flexibility of our business model affords us the opportunity to quickly and significantly reduce expenditures across the board when needed, including costs we generally consider fix during normal operations. As we shared with you on our last call, there were both strategic and economic value in getting properties reopened in 2020. Not only do we remain engaged with many of our guests, but operating 10 of our 13 properties even under modified schedules and limited offerings, reduced our adjusted EBITDA loss by more than $15 million over the last eight months of the year when compared to our internal projections under a scenario where no properties reopened after the pandemic shutdown. Looking at deferred revenues. At the end of the year, deferred revenues totaled $194 million, which was up 21% compared to $161 million at the end of 2019. The year-over-year increase primarily reflects the impact of the carryforward of 2020 season pass benefits and use privileges through the 2021 season or beyond in the case of Knott's Berry Farm passes. With the most active period still ahead of us in the 2021 season pass sales cycle, we are pleased to report we currently have approximately 1.8 million valid season passes outstanding or roughly 70% of our 2019 full year season pass base, which we believe provides solid momentum for attendance as we head into the 2021 season. Turning to our outlook around liquidity. With Knott’s Berry Farm, our only year round park remaining in a state of readiness to fully reopen and none of our other parks currently in operation, we are closely managing our cash burn rate while appropriately maintaining our properties. At the end of the year, we had total liquidity of $736 million, which included $359 million of undrawn revolver capacity and $377 million of cash on hand compared to a pro forma liquidity position at the end of the third quarter of approximately $877 million. You may recall that during the fourth quarter, we enhanced our financial flexibility by completing the issuance of $300 million senior unsecured notes offering, which we viewed as a prudent insurance policy to protect against the possibility of the disruption lasting longer than anticipated. We also amended our credit agreement to suspend and revise certain financial covenants by an additional year, and we obtained agreement to extend the term on $300 million of our revolving credit facilities through the end of 2023. The covenant waiver period was extended through the end of 2021 and the covenant modification period was extended through the end of 2022, along with the widening of the senior secured leverage requirements. Under terms of the amendment, we are required to maintain a minimum liquidity level of $125 million and we may not make restrictive payments, such as distribution payments generally through the end of 2022. Regarding 2020 capital expenditures, after the mid March shutdown of park operations, we effectively suspended all capital projects to minimize cash outflows and preserve liquidity, only restarting and completing those that were necessary for reopening parks in 2020. For the full year, capital investments totaled $129 million, which represents a savings of approximately $60 million from our initial 2020 CapEx budget. At year end, we were current on our payables for all active capital projects and we had no material long term commitments for new attractions. With nearly half of our parks unable to fully operate last year, many new rides and attractions planned for the 2020 season have yet to be introduced to our guests. Being in that position provides us maximum flexibility to tailor our 2021 and 2022 capital programs based on the speed of the recovery and our outlook around liquidity. Therefore, our 2021 capital investment strategy is to focus resources on items of necessity, including essential compliance and infrastructure needs and reactivating select projects left unfinished from 2020 that are critical to this year's park operations. Beyond this base level investment, which we estimate to be in the $30 million to $35 million range, we will continue to assess the speed of the market's recovery, and we will activate additional projects as conditions warrant. Applied conservatively, this approach should result in our 2021 capital expenditures totaling well inside the amounts we have invested in recent years. As we reopen parks and get back to our normal operations, we will be in a better position to make decisions on what our capital investments over the second half of 2021 will look like as well as our outlook and timing for returning yearly capital investments back to our targeted investment range of 9% to 10% of revenues. Let me move on to cash burn for a moment. As I mentioned a moment ago, all of our parks are currently closed. And with the possible exception of Knott's Berry Farm opening sooner, none are scheduled to open before the beginning of May. If current trends continue, cash burn will remain in the $40 million to $50 million per month range until the second quarter when we have a combination of factors coming into play. First, in early to mid April, operating costs begin to ramp as we prepare our parks for their scheduled season openings in mid to late May. Second, as previously mentioned, we have a modest amount of capital investments planned for the second quarter to address compliance and infrastructure needs and complete projects reactivated from 2020. Third, scheduled interest payments, which are higher in the second and fourth quarter, are due on our outstanding bonds and total interest payments are projected to average approximately $23 million per month in the second quarter. And finally, in addition to the cash we will generate starting in mid May from daily park and resort operations, we are anticipating an uptick in season pass sales during the spring time frame as guests return to our parks. While we are encouraged by the solid foundation we have in some key attendance channels such as season passes, as well as certain macro trends like the broad dissemination of vaccines, because the operating environment around the pandemic remains quite fluid, it's difficult to project more than two to three months out. As such, out of an abundance of caution, we want to emphasize that should operation again be suspended across our portfolio, we have the ability to adjust our operating plans and remain within or below our previously achieved monthly cash burn average of $35 million to $40 million, covering operating costs and interest payments. Under either scenario, we have sufficient liquidity to satisfy our cash obligations and remain in compliance with debt covenants at least through the first quarter of 2022. The progress we've made over the last few quarters to improve the efficiency of our operations and infrastructure has certainly had a positive impact on our ability to reduce cash burn. Our transformation is squarely underway and central to our goal of emerging even stronger and more cost efficient. Before I turn the call back over to Richard, let me recap our overarching financial objectives as our business recovers and transitions back to normalcy. Our near term capital allocation strategy remains unchanged. We are focused on reestablishing growth in the core business and paying down debt to return our net leverage ratio back inside 5 times adjusted EBITDA as quickly and responsibly as possible. Longer term, we're committed to getting net leverage back between 3 to 4 times, which is where it has historically been. We have suspended our distribution for the foreseeable future and we'll continue to actively manage our cash burn to its lowest possible levels, particularly while our parks are not in operation, so we may advance our key objectives. And finally, until we have greater confidence that operations have stabilized and further business disruptions from the pandemic are unlikely, we will continue to withhold current year or long term financial guidance. Ultimately, our performance in 2021 will be highly dependent on the speed of the recovery and several other factors not directly in our control, including restrictions on park openings, imposed capacity limitations and broad consumer sentiment around the pandemic. It's important to note that the longer end of the season it takes for our parks to reach full operation, the more challenging it will be to reach historical performance levels. As a reminder, in a normal operating year, we estimate that to achieve adjusted EBITDA breakeven on a consolidated basis, we need to generate attendance in the range of 45% to 55% of 2019 levels. To achieve cash flow breakeven, which would cover operating costs and cash interest payments, the bar is higher at 70% to 75% of historical attendance levels. While our market research tells us consumer demand this year should support these attendance levels, 2021 will not be a normal operating year. And external limitations on park operations may delay achievement of full potential until later in the year or beyond. With that, I'll turn the call back over to Richard.
Richard Zimmerman: Thanks, Brian. Although we have many reasons to be optimistic about the second half of the year, and Cedar Fair's longer term prospects, we remain focused and disciplined. Given how dynamic the operating environment remains, we are prepared for a range of scenarios in 2021. Fortunately, we have an experienced team with a proven ability to respond quickly and effectively to challenges. Our primary goal for the 2021 season is to fully reopen all of our properties. While the timing for achieving that goal is not entirely within our control, we are encouraged by recent interactions with state and local officials in most of our markets. For now, however, we continue to factor the pandemic’s near term risk into our operating plans and take measures to minimize its effects. Based on our historical performance, we know that most of our revenues are generated during the peak vacation months of July and August, and that 80% of our attendance is produced from June 1st on. We also know that uncertainty caused by the pandemic is likely to remain in the marketplace over the next few months, at least until vaccines are administered to a greater percentage of the broader population. We expect these headwinds to persist for much of the first half, so we are delaying the traditional opening dates at several of our seasonal parks, which in prior years opened in March and April. As stated in this morning's earnings release, we have established park opening dates for the upcoming 2021 season, ranging from May 8th to May 29th. In a dynamic environment still affected by shutdowns and operating restrictions and as visibility remains unclear, we believe that opening later is the prudent approach in our regional markets and offers several advantages. First, as vaccines and therapeutic treatments are distributed more broadly over the next several months, there is a greater chance communities and businesses will have more latitude to ease COVID-19 restrictions. Second, we can meaningfully reduce park preopening and operating costs during a period where we expect demand to be under pressure. Third, we can more efficiently manage our seasonal labor force by consolidating our operating calendars to correlate with anticipated demand. And finally, we can minimize our cash burn and preserve liquidity. We will be monitoring events in the marketplace, adjusting our plans for the season ahead and continuing our active dialogue with season pass holders and other loyal guests about the upcoming season, while also pressing forward with our initiatives to streamline our infrastructure, further enhance operational efficiency and optimize the way we do business. While challenged by the pandemic, our team has not been deterred. In fact, we have taken to heart the effects of COVID-19 on our business and professional lives to embrace a new and different way of thinking about our future as well as the future of those we serve. I'm excited about the potential of Cedar Fair and the progress we are making to evolve the way we do business. I look forward to updating you on the progress of our efforts over the months ahead and remain confident that Cedar Fair is poised for long term growth and value creation. Amy, at this point, could you please open up the call for questions.
Operator: [Operator Instructions] Your first question today comes from the line of Eric Wold with B. Riley Securities.
EricWold: Couple of questions, I guess, one, obviously, you mentioned that you're starting -- you're planning on some of the seasonal opening dates to be a little bit later than normal. Maybe within those plans, where do you have the least level of confidence of those dates? I'm assuming California is sort the top of that list, but where else -- maybe confirm that and kind of where else you not have full visibility on opening date at this point?
RichardZimmerman: I would answer it this way, Eric. I think we believe we can get all of our parks reopened, and we tried to pick days that that we thought made a lot of logic given the likely unfolding of the recovery in each of the states. As I mentioned in my prepared remarks, we've had very productive conversations with all the state and locals. Coming off of last year where we were able to open and operate effectively and very safely in a COVID environment, we got a lot of credit and the industry got a lot of credit for the safe way that we're able to operate and still provide unique entertainment offerings. That really resonates with a lot of folks in the state and local level. And as we see the state is unfolding each of the particular localities, I think we're monitoring those and moving as quickly as we can. But I would say that we'll have more to share with you as those dates get closer. But right now, I would term all of the conversations, even in California, very productive. We understand where we sit in the phase reopening of each of the economies, and we're working cooperatively and collaboratively with all the jurisdictions and all our industry partners to make sure that we move forward as quickly as is prudent.
EricWold: And one last question then, I know you kind of are working on a number of labor efficiency strategies to kind of drive more efficiency, drive more margin at the park to kind of normal pre-pandemic attendance. Maybe you can talk about how different will the kind of staffing process be this year given maybe some uncertainties around timing? And then should we assume that you're going to plan to open a little heavy on staffing heavy than you'd want to be in I would optimally be under those strategies, just to kind of get consumers going back to the mix and drive the engagement, drive the experience and then kind of move later towards those optimal levels, or you'd be starting at those optimal levels from the get go?
RichardZimmerman: I would say, as we did, as you saw we do last year, we're going to match our seasonal labor to what we anticipate that the demands will be. We think in each of our respective markets, every market has its unique challenges, but in each of our markets, we think we'll be able to get the amount of labor that we need. As matter of fact in some markets, we've seen a lot of good upfront indicators with people calling us for internships and other things like that. So I think we'll be in a good spot to, as I said in my prepared remarks, really match what we think the demand for labor will be with better tools to manage the workforce. Brian, anything you want to add to that?
BrianWitherow: I would just say, Richard, the staffing for '21 is good, is largely going to be educated by what we saw in 2020. It's definitely maybe not just like demand from the guest side is influenced by COVID. There are still implications on our staffing model. And good example is the status of where Visa program will be at, which several of our parks have historically leaned on. But early indications from application flow is pretty solid. And that was the case last year in 2020, Eric, as well. I think what disrupted a little bit was all the uncertainty around the opening date. And some of those folks that we would normally be hiring just going and finding other jobs. So we continue to see solid application flow. And as Richard said, our focus right now is making sure that we manage aggressively our staffing model to best align with what our anticipation is around demand levels. And the new platform that we're introducing in workforce management solution, the Kronos solution, is going to give us a lot more flexibility to adjust those staffing levels in real time during the course of a week or even an operating day based on how attendance trends are developing.
Operator: Your next question comes from the line of James Hardiman with Redbush Securities.
JamesHardiman: So I actually wanted to stick with the last conversation about labor and maybe look, I guess, backward and forward with that, but in the context of the 200 to 300 basis points of margin expansion that you called out versus 2019 in a normalized environment. I guess, first question, when I look at 2000 -- and I guess it's into that 36%, 37% range in terms of EBITDA margin. Remind us what the biggest delta between 2019 and sort of the peak margins that you've done? Was labor the biggest factor there? And then as we look forward, do you still think that sort of margin goal is achievable if we see a significant ratcheting up of the federal minimum wage, which is obviously getting a lot of momentum at of late?
BrianWitherow: I think as I look back at '19 relative to those peak margin years, while there are a number of initiatives that had been maybe introduced and mix can come into play as well. I mean, the portfolio of properties in the system plays into that a bit as well. But as you called out, I think the most demonstrative factor and that is labor costs, particularly that seasonal labor bucket. We have taken a lot of significant increases, market adjustments in minimum wage rates, beginning in '16, '17 and even a little bit of '18, mostly '16 and '17 were the big increases. And we did that in anticipation of a broader move to higher rates. We were focused on our individual markets, of course, as we're trying to be competitive in each of the regions that we operate. But there's no doubt that we sort of saw the wins in which direction they were blowing. And so I think that's the largest and most demonstrative delta between those 2014, '15 types of time frames or maybe even a little bit earlier than that when we're at the higher margins and where '19 was at. As we think about the the optimization program, the business optimization program that Richard mentioned in that target of building a plan to get us 200 to 300 basis points of margin expansion. We've taken that into account that there are some headwinds in addition to the opportunities that are before us. There are some headwinds around things like labor. Ultimately, the devil is in the detail, and there's a lot we don't know about what a proposal to $15 per hour wage rate would look like. But as I mentioned, we've been planning for that for several years. And to put it into some context, our average seasonal labor rate in 2020 was close to $12.50 across the entire system with a number of our parks, several parks in the system, including the two parks in California already at or near that $15 per hour level. We're working on analysis right now and how potential jump to $15 could impact. But again, the true impact is going to depend on the details of what that would actually look like. So we'll continue to manage it. We think there are definitely efficiencies on our side. And then the other piece that I think often gets overlooked is as there's more labor dollars going into the pockets of our associates, our employees, those are the same folks that are guests. That same age bracket is the equivalent of much of our guest base and it gives us a little bit of pricing power. And so I think that's the other half of this. But we'll be definitely focused on the labor side of things as we work towards that 200 to 300 basis point margin expansion goal.
JamesHardiman: And then just a point of clarification. The last point, Brian, you made in the prepared remarks about 45% to 55% in 2019, get you to breakeven EBITDA and 70% to 75% attendance, this is obviously getting you back to breakeven free cash flow. I didn't quite catch. You may have commented on the likelihood of either of those two things happening. And maybe the answer was just we don't know, based on the operating schedule, but maybe flush that out how realistic is it that we get to one or both of those targets in 2021?
BrianWitherow: Yes, James, we didn't specifically say what the likelihood is. I think the way I would answer that is that, as I said, and I think Richard alluded to as well in his prepared remarks. It's hard to look out much beyond three months with any degree of certainty, given how dynamic the world is right now. Even though I will say we feel a lot better right now than we did several months ago and clearly, a lot better than we did in March or so of last year when the pandemic was hitting. The way I guess I would frame it up. One of the challenges we're going to have, and I alluded to it in the '21 is not going to be a normal operating year. As I mentioned in my remarks, our operating days were down almost 80% in 2020 from those 2019 levels. The adjustments we've made to our calendar this year and the announced May timing for reopening, we're still looking at an operating calendar that's going to probably be somewhere between 25% to 30% light in operating days relative to 2019. So that's a pretty big delta. We marry that up with capacity limitations that may still be imposed in some of our key markets like California as an example, or Toronto with Canes Wonderland being our third largest park. Those are challenges that make achieving those breakeven levels that much more difficult.
JamesHardiman: That makes a lot of sense. I mean, it basically sounds like free cash flow is going to be a real tough one to get to breakeven on just given where the operating calendar is, right, with those capacity limitations, maybe EBITDA, obviously, more likely, but still uncertain. Okay, that’s really helpful. Thanks guys.
Operator: Your next question comes from the line of Steve Wyzinski with Stifel.
StevenWieczynski: So first question would be around your pass sales. And I think in a normal year, you would have typically opened up your pass sales in mid August, and that would have run through mid fall and then you'd open it back up in the spring. And if I remember correctly, you had indicated that given the fact that you have a longer runway, you could get more aggressive with those sales. So I guess my question is, did that essentially hold true in the fall? And then maybe give us some color on what pass sales look like, or what you're basically expecting going into the spring selling season? And also, when do you start to really turn on your marketing spend?
RichardZimmerman: We were pleased with the sales we had last year in the fall, remembering that we only had Kings Island and Cedar Point open for the most part. After Labor Day, we were able to open our Richmond and Charlotte parks for a modified holiday celebration. So we're pleased with the response in all those markets. We've seen interest even now as we're in January and February, but it's not to the normal levels we would expect to see with parks that would be opening in March. Typically, as we've always told you, the spring sales period is our biggest sales period of the year. So we think as we get closer to opening and we will ramp up, making sure everybody knows that we're going on sale, we think we've got the opportunity to jump into a pretty good sales cycle this year. Again, it will be a little bit truncated from what we normally do. And certainly, our advertising efforts around that will be pushed back a little bit. But once we get into May, then we'll get a real sense of how that looks. And then the other thing that I would remind you is that our 2022, as we said in our prepared remarks, typically, we go on sale with those in mid to late August. So we ramp into the fall where we think conditions will continue to be improving. And we really think we've got opportunities with that side of the program this year as well.
StevenWieczynski: And then second question would be, as you guys start to open back up in May, and I'm not sure if you guys have even thought about this yet. But will there be a requirement either for your employees or the guests to actually be vaccinated?
BrianWitherow: I'll speak with respect to our own employees. And as you know, we consult with outside medical experts, really work close to state and local officials as well. We're going to strongly encourage our employees to get vaccinated. When we look back at 2020 and the way we were able to do 2.6 million guests and not have a single case traces back to us, we thought we had a safe and effective environment. We proved our protocols and procedures were effective. So we are certainly going to strongly encourage our associates and our employees to go get vaccinated. We are working closely, by the way, in several jurisdictions and already have hosted vaccine -- taking our parks and being a vaccination site. And there's several more that we've reached out to everybody, there's several more that I think could come online over the next month or two. And for the most part, in those situations, we've got an ability to access vaccinations for our own employees as well as the general public. So lots going on to unpack in that comment but we're certainly putting a focus on what we can do to help the community with moving forward as quickly and effectively as possible and we're also looking to see if we can help our own employees get access as well.
Operator: Your next question comes from the line of Paul Golding with Macquarie Capital.
PaulGolding: I guess, my question comes back to the 25% to 30% fewer operating days estimate that Brian mentioned. How does that cadence look for the year? In other words, how are you looking at -- obviously, there's a back half weighted schedule here, but are you limiting certainly intra week days? How should we think about how condensed the schedule will be from a week to- week basis?
BrianWitherow: As it relates to the operating calendar, as you can imagine, a big chunk of that delta is driven by the fact that our year-round park, Knott’s Berry Farm, remains idle and not in full operation as it was basically for all of last year. And again, while we will be hosting culinary festivals beginning in early March, and we're not counting those in operating days. So that's a little bit of a nuance that I just want to call out. The operating calendars then for the '21 season are largely educated by what we learned in 2020. So some of what you're referencing early in the season before we sort of hit those peak July, August month, as an example, we will try and skinning up some of the operating days at some of the smaller to mid sized parks to better align operating costs with demand. Demand is still the highest on the weekends. And so what the calendar is we migrated to this past year, where we were only open in certain markets maybe four days a week or five days a week, there will definitely be a little bit of that early on. We will continue to adjust our calendars. One of the things that we've learned this past year is that we have to remain nimble in a dynamic market. And so as demand either improves or if it remains soft, we'll make adjustments. But it's a little bit -- the delta, the 25% to 30% operating day that I mentioned is a little bit of both. It's big slots of time where we're just not open at parks. It normally would be open like Knott’s Berry Farm. It's delayed openings, as Richard said, instead of getting parks like our parks in Texas or the Carolinas opened in March or early April, they're now into May. And then it is some adjustments to the daily or the weekly calendar, particularly early in the season.
PaulGolding: And do you see the operating calendar extending later into the season, just around before you migrate to winter festivals just to get the operating days in with better vaccine penetration or how are you thinking about that?
BrianWitherow: I'd say right now, the operating calendar, when we look out farther to the fall and then Winterfest. From a day perspective, it's more in line with historical operations. Clearly, it is our intent to host the events that we had to either truncate or not host at all this past year because of COVID. So getting horns or our halloweekends events back in place, Winterfest back at the parks that traditionally hosted this past year, as Richard said, only Carowinds and Kings Dominion were able to host, and those were very limited. So I would say that the latter part of the year looks a lot more like '19. But again, very dynamic, we will make adjustments. If there's reason to stay open, as we've shown in other years, reasons to stay open more days because demand is there, we have the luxury and the ability to make those adjustments to our calendar. But at this point in time, we're focused on managing against what we think is still going to be somewhat of a disrupted 2021.
Operator: Your next question comes from the line of Mike Swartz with Truist Securities.
MikeSwartz: Just wanted to talk in a little more detail around the business optimization plan. It looks like you're thinking about $30 million to $45 million in annualized savings, assuming you get back to 2019 attendance levels. So maybe give us a sense of where those savings come from exactly and maybe how much of that has been executed upon as we sit here in February?
RichardZimmerman: At this point, as I said in our prepared remarks, we're not prepared to go into specific details behind each of these at this time. We'll be in a better position to do that in our first quarter earnings call. I will say that each of the areas we highlighted represents meaningful opportunities for cost efficiencies. But the time line on each is a little bit different depending on the initiative. Procurement, in particular, that we keep calling out, probably has the most upside at full maturity, but that will take the longest to fully implement. So we'll be prepared to lay a little bit more out on all those things as we get into the may call.
MikeSwartz: And then just maybe taking a step back and thinking about some of the seasonal or limited duration events that you've run, and you've really strategically been pivoting more to over the past couple of years maybe. How to think about that and your plans around some of those shorter duration events as we look at 2021 and beyond?
RichardZimmerman: Well, one of our learnings is that we could -- particularly out in California with Knott’s is that we could really still tap a really strong brand and create a culinary festival that really resonated with the marketplace, and it reinforced and enhanced the strength of the brand. So as we think about it, I would put it in another tool in the toolkit scenario, which is we've got an opportunity to see how those limited duration events work when we are fully open and fully reopened and have full range of operations. But I think what we saw this year and what we learned is there's an opportunity to reconfigure how we use our sites. And as we see demand start to ramp up, I think it lets us configure our operations to the demand we see in the marketplace. So we're rethinking that on a broad front. Right now, we really like the impact that it's had on our full operation, go back to the momentum we had in 2019 and heading into 2020. We do think it's a key plank of how we continue to generate strong appeal and demand in our regional markets. And I think you'll see us continue to lean into that as we think about what are the drivers of our demand as we get into '21, but also '22 and beyond.
Operator: Your next question comes from the line of Ben Chaiken with Crédit Suisse.
BenChaiken: I guess, you guys have 1.8 million passes. I think the majority of that revenue is allocated for this year, 2021. How do you think about the strategy to sell new passes as you get into the season? Meaning are you typically reselling to the same customer, hoping for a renewal or are you typically selling to a brand new customer? And I guess what I'm getting at is, if it's the latter, you have a real opportunity. So maybe any color around the portion of passes historically that are new versus returning customers? And then do you have the granularity in your CRM to specifically allocate your outreach efforts to new customers, given the 1.8 million people already hold the pass? If that didn't make sense, I can try it different way?
RichardZimmerman: I think I get what you're looking for in terms of color. I'd say it this way. We've got -- over the last several years, we've built a state of the art CRM system. Our folks internally do a great job continuing to upgrade that and continue to evolve it. We know the most about our season pass holders, have a lot of data for them. In any given year, in any given period, the fall sales or the spring that we're about to launch into, you'll have a combination of new and renewals come in. We're constantly looking to fill the customer acquisition funnel at the top and acquire new customers. And as we've shared with you over the years, and we're trying to be as transparent as possible, we've seen higher and higher levels of renewals. So we're both acquiring new customers, our unique visitors were up significantly, we're up, I think, 6% in 2019, season pass holders are part of that. But we've also renewed more season pass holders. So as we get into spring, we reach out to both. So because we've got so much data on our on our season pass holders, we certainly craft a different message for each. But what we also know, Ben, is that for the most part, season pass holders will make their purchase within a short window before when they intend to go use the pass. So reopening our parks is a significant advantage and a significant lever in terms of then going out and selling the season pass. So I hope that helps?
BenChaiken: And then I think just one other. I think some of your peers experimented with some unique ways to essentially expand the daily capacity restrictions in place, maybe running multiple ticket ships, for example. Are there any learnings in the last 12 months that you guys think you can apply to this upcoming season, kind of would be interesting to share?
RichardZimmerman: Yes, nothing specific. I will tell you, we've taken note of everything in the industry, and we've looked at our own experience with reservation systems and how we calibrate to the demand. So you'll see us, in particular, where we've got maybe smaller footprints, if I could say it that way. You'll see us try and use all the ways we can to best give both our guests an opportunity to visit. So water parks, in particular, have the tightest footprint. So on the water parks, we're thinking about a number of different ways to make sure that we can satisfy the demand that's out there. So there will be more to come on that as we get closer to opening.
Operator: [Operator Instructions] Your next question comes from the line of Stephen Grambling with Goldman Sachs.
StephenGrambling: Two kind of bigger picture follow-ups. I guess, first, as you've gone through this period where you haven't had the normal connectivity with your customer base. Has there been things that you've been testing or that you've changed as you think about trying to stay engaged with the consumer going forward or even looking to expand the consumer base that you're going after in a new way?
RichardZimmerman: We do have our past perks loyalty program. We've rolled out some unique offers through some strategic partnerships we have there. So we've tried to rethink, to your point, Stephen, how do we stay engaged and what's relevant in this disrupted environment. I will also tell you that we've also come up with unique ways, be it putting out information, doing back of house tours. We try to come up with a lot of different ways to create forms of interests for those people that really want to talk about coming back, what it could look like, talk about the heritage and the tradition of all of our sites. I think when we talk about engagement with our customers, we don't only think about that in the context of the strength of our brands. But with such a big season pass base, which is loyal guests to come to us year after year, even the day guests and the day visitors, there's been a lot of good chatter on engagement between us and them on how we can stay relevant and what is it going to outcome. I will tell you, there's a lot of excitement going into 2020 season when you think about things like the 150th anniversary, to your point, the 100th anniversary of Knott’s. Those are all things that resonate with our loyal customers. So there was a lot of interest on their side with staying engaged with us as well as our side to engage with them.
StephenGrambling: And an unrelated follow-up, I think you mentioned on the labor front, the Kronos time management rollout. Are there other opportunities or even restrictions on the ability to take labor out of the system that could be changing? And I'm thinking about just from a regulatory standpoint or safety standpoint, are there things that you can do to actually reduce the number of people kind of operating the park versus what may have been mandated in the past?
RichardZimmerman: As I said in my prepared remarks, we've been focused on this for several years. If you go back to the wage inflation we have seen over the past few years and that Brian referenced as we took some wage rate increases to position us competitively in all the markets as we wanted to be, we have found ways to take hours out. Our ops team, in particular, has always done a great job of finding ways to become more efficient and actually take hours out. But the flip side also is, and we don't always talk about this or emphasize it. We're also looking for ways to be as productive as possible with the labor we do have. So in some cases, Stephen, it's a great question, we're looking at how do we get more transactions per hour out of our food stand and our food and beverage folks, the revenue per hour in different locations. So it's equal parts trying to really look at productivity and generating as many transactions as possible on an hourly or daily basis at some of our facilities, say, food for example. But it is also still about making sure we're as efficient as possible.
Operator: And at this point, there are no further questions in queue. I turn the call back to Mr. Zimmerman for any closing remarks.
Richard Zimmerman: Thanks everybody for joining us on today's call and for your interest and ongoing support of Cedar Fair. We look forward to keeping you updated on our progress to 2021, and we hope to see you either virtually or in person at an upcoming investor conference or nondeal roadshow. Please let me know if we can be of any further assistance along the way. In the meantime, I hope everybody stays safe and well. Thank you again. Michael?
Michael Russell: Yes. Thanks again, everyone. Should you have any follow-up questions, please feel free to contact our IR department at (419) 627-2233. And we look forward to speaking with you again in May after our release of the 2021 first quarter report. Amy, that's the end of our call today. Thank you.
Operator: And this concludes today's conference call. Thank you for your participation. You may now disconnect.